Operator: Good morning, everyone and welcome to The New York Times Company’s First Quarter 2018 Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please also note, today’s event is being recorded. At this time, I’d like to turn the conference call over to Harlan Toplitzky, Executive Director of Investor Relations and Financial Planning and Analysis. Please go ahead.
Harlan Toplitzky: Thank you, and welcome to the New York Times Company’s first quarter 2018 earnings conference call. On the call today, we have Mark Thompson, President and Chief Executive Officer; Meredith Kopit Levien, Executive Vice President and Chief Operating Officer; and Roland Caputo, Executive Vice President and Chief Financial Officer. Before we begin, I would like to remind you that management will make forward-looking statements during the course of this call, and our actual results could differ materially. Some of the risks and uncertainties that could impact our business are included in our 2017 10-K. In addition, our presentation will include non-GAAP financial measures, and we have provided reconciliations to the most comparable GAAP measures in our earnings press release, which is available on our website at investors.nytco.com. With that, I will turn the call over to Mark Thompson.
Mark Thompson: Thanks Harlan, and good morning everyone. Q1 2018 was another strong quarter for the company, with overall revenue up, profit up, and continued strong growth in our digital subscription business. We’ve won three more Pulitzer prizes since the last time we spoke to you. the Pulitzer for Public Service for our reporting of sexual harassment, the sixth public service Pulitzer in our history, more than any other media company. The Pulitzer for National Reporting, for coverage of Russian interference in the 2016 presidential election. And the Pulitzer for Editorial Cartooning, for a strikingly original illustrated series in our Opinion Section about Syrian refugees in the U.S. The cornerstone of our entire strategy as a company is investment in the best journalistic and creative talent in the world. And it’s very pleasing to see it honored in this way. Indeed today is World Press Freedom Day, which has been marked every May 3rd for the past 25 years. It’s meant to remind people of the perils faced by journalists around the world and unfortunately, this year, it is more important than ever to take notice. We’re in the middle of one of the deadliest weeks anyone can remember for journalists around the world with many killed in Kabul, one in Gaza and scores more imprisoned around the world. Too often, journalists risk their freedom, and in some cases, their lives to report the truth. Our business is based on the pursuit of that truth and we stand with our colleagues around the world in defense of our profession’s responsibility and commitment to free and fair reporting in the public interest. Now turning back to the business of the call, we have a new CFO, Roland Caputo, whom you’ll be hearing from for the first time in a few minutes. Now, we interviewed many internal and external candidates for this key role and appointed Roland because of his combination of strategic imagination and operational mastery, and because we judged him best able to help us accelerate our digital transition. I’m really looking forward to working with him in this new role. Let’s turn now to the quarter, beginning with our digital subscription business. We added a total of 139,000 net digital subscriptions, of which 99,000 were to our digital news product, and the balance to our Crosswords and Cooking products. We ended the quarter, therefore, with a grand total of 2,783,000 digital-only subscriptions. Total subscriptions including print are now in excess of 3.7 million. Retention of our core digital news product remains a very encouraging story. We continue to retain the post-election cohorts, some of whom are now well over a year into their subscriptions, at least as well as earlier cohorts. Revenue from our digital-only subscription business was up nearly 26% compared to the same quarter a year earlier, at $95 million, while print subscription and single-copy revenues were down less than 1%. Digital subscriptions are clearly a success story for The Times and we believe there is real scope to accelerate progress further. In recent quarters, we have been ramping up both brand and direct marketing spend, and will continue to do so as long as the investment makes sense. Let me turn to digital advertising. As I’ve said in previous calls, the character of our advertising model, with its increasing reliance on strategic commercial partnerships and often large individual campaigns, means more lumpy results than was the case say three years ago, as individual partnerships and campaigns come on and off stream. As predicted, this variability, combined with somewhat lower audiences compared to the post-election and inauguration highs of the first quarter of 2017, mean that Q1 2018 got off to a subdued start with digital advertising revenue in the quarter falling 6% year-over-year. We’re very pleased with our pipeline, however, and while we expect Q2 to be another down quarter, we’re confident we will return to solid year-over-year growth in digital advertising revenue in the third quarter. In a rapidly evolving digital ad marketplace, we believe that our differentiated offering, the safety of our environment and the growing desire of the world’s biggest brands to associate themselves with The Times, position us for success. Print advertising performed better than we expected in the quarter, declining by only 2% compared to the same quarter a year earlier. We do not view this as a new trend, however, and as you’ll hear, expect a decline rate in the second quarter more like some of those we experienced in 2017. Adjusted operating costs were $10 million higher in the first quarter than the year earlier, as we continued to invest in Times journalism and digital products. Given the significantly higher overall revenue driven in particular by that growth in digital subscriptions, the net result for the company as a whole was adjusted operating profit of $55 million compared to $50 million a year earlier. In previous earnings calls, I’ve talked about innovation in areas like VR, AR and audio. This year, you will see us turn our attention to television. First up at the end of May is an independent Showtime documentary, where The Times newsroom and our coverage of the first year of the Trump Administration is the subject. And, we have our own projects in the works, including a recently announced agreement with Anonymous Content that will help us accelerate moving Times journalism into film and TV. The first big project coming from this arrangement is a planned feature film based on The Times’ coverage of the Harvey Weinstein story. And, we’re developing our own TV offering, which we expect to do on television what our podcast, The Daily, has so successfully done with Times journalism in audio. More news on that project is coming soon. But now, for more detail on the quarter’s results and the guidance for Q2, let me hand over for the first time to our new CFO, Roland Caputo.
Roland Caputo: Thank you, Mark, and good morning, everyone. Before I begin discussing the quarter this morning, I’d like to thank everyone for the warm wishes that have come my way over the past week. I am excited by the prospect of enabling the company to execute on its subscriber-first strategy in order to further accelerate top-line digital revenue growth and long-term profitability. Given my background as a business operator, I also look forward to the opportunity to continue to improve operational excellence across the organization. Now let’s get to the quarter: As Mark said, this quarter represents another strong one for the Company. Adjusted diluted earnings per share was $0.17 in the first quarter, compared with $0.10 in the prior year. We reported adjusted operating profit of approximately $55 million in the first quarter, compared with an adjusted operating profit of $50 million for the same period of 2017. Total subscription revenues increased 8% in the quarter, with digital-only subscription revenue growing 26% in the quarter to $95 million. On the print subscription side, revenues were down slightly due to declines in single copy revenues. Total daily circulation declined 9.4% in the quarter compared with the prior year, while Sunday circulation declined 7.1%. These declines reflect difficult comparisons with the first quarter of 2017 when we experienced elevated post-election demand for the newspaper. Volume declines were mostly, but not entirely, offset by price increases for both home delivery subscriptions and the single copy daily cover price. ARPU on our digital-only news products increased sequentially in the first quarter as subscribers who initiated subscriptions in late 2016 and early 2017 continued to cycle off of promotions and graduate to full price. We expect this improving trend in ARPU to continue. Moving along to advertising, we reported that total advertising revenue declined 3% compared to the first quarter of 2017 as both print and digital advertising were lower in the period. The 6% decrease in digital advertising revenue was driven by continued declines in direct-sold desktop display, which more than offset growth in smartphone advertising. Print advertising, while lower than the first quarter of 2017 by 2%, showed strength relative to recent trends as declines in the luxury, retail and entertainment categories moderated considerably in the quarter and were mostly offset by growth in the media, advocacy and financial categories. On a monthly basis, compared to last year, overall advertising revenue declined 3% in January, grew 2% in February and declined 9% in March. It’s worth noting that these monthly results were slightly skewed as we published a T Magazine in February of this year, while the comparable issue was published in March of 2017. Because of this, the February 2018 result was boosted by approximately 3.5 percentage points, while March was depressed by a similar amount. Other revenues grew 5% versus the first quarter in 2017, to $28 million, principally driven by affiliate referral revenue from the product review and recommendation website, Wirecutter, as well as from our commercial printing business. This growth was partly offset by a decline in our live events business. In the quarter, we completed the renegotiation of our driver’s collective bargaining agreement, which culminates a multi-year effort to renegotiate all of our major craft union contracts. This has resulted in two significant benefits. First, it has allowed us to reduce current and future operating costs related to the production and distribution of the New York Times newspaper. Additionally, it enables us to further monetize our College Point production facility through commercial printing. In the first quarter, we began producing and transporting the Newsday family of products and expect transition of this work from Newsday facilities to our College Point facilities will be complete by the end of the third quarter. Both GAAP operating costs and adjusted operating costs increased 3% in the quarter. In both cases, the cost increase was related to higher compensation costs, which were partially offset by lower print production and distribution costs. In the quarter, we recorded one special item, which has been excluded from our adjusted results. This nearly $2 million charge represents non-capitalizable expense related to the reconfiguration of our headquarters building to make more space available for rental income. We have signed leases for 4.5 floors and we expect to begin recording rental income in the second quarter. We anticipate recording rental income on the remaining floors in the second half of this year. As we’ve mentioned on our fourth quarter call, the rules with respect to pension reporting have changed. Beginning with this quarter’s results, interest cost, amortization of prior service credit, and gains or losses from our pension and other postretirement benefit plans have been presented outside of operations on a new line item titled: Other components of net periodic benefit costs. The service costs related to our pension activity will continue to be presented within our operating results. We believe this is a fairly immaterial change for us, as we have historically adjusted most of these items out of our non-GAAP adjusted operating profit measure. Previously, however, our adjusted operating profit included the benefit of the prior service credits, which, as I noted, are now presented outside of operations. Our prior year’s results have been recast for comparability purposes. The change in this item increased our adjusted operating costs, thereby lowering adjusted operating profit by approximately $2 million for the first quarter of 2018, approximately $2.4 million for the first quarter of 2017, and approximately $9.7 million for the full year of 2017. Our effective tax rate for the first quarter was approximately 20% as compared with 45% in the first quarter of 2017, a result of the tax legislation that was enacted late last year, as well as a one-time benefit from stock-based compensation. Moving to the balance sheet, our cash and marketable securities balance increased during the quarter, ending at $749 million. Total debt and capital lease obligations, principally related to the sale-leaseback of our headquarters building, were approximately $251 million. Let me conclude with our outlook for the second quarter of 2018. Total subscription revenues are expected to increase in the mid-single digits, compared with the second quarter of 2017, with digital-only subscription revenue expected to increase approximately 20%. Overall advertising revenues are expected to decrease in the low-teens, compared with the second quarter of 2017, and digital advertising is expected to decrease in the high-single digits with a return to solid growth in the third quarter. Other revenues are expected to increase approximately 25%. Operating costs are expected to increase in the low-single digits, while adjusted operating costs are expected to increase in the mid-single digits, compared with the second quarter of 2017 as we continue to invest in marketing and other efforts to drive incremental subscription growth. And with that, we’d be happy to open it up for questions
Operator: [Operator Instructions] And our first question today comes from John Janedis from Jefferies. Please go ahead with your question.
John Janedis: Mark, a few weeks ago, you talked about the relationship between news providers and how they’re thinking about news content and the digital players. And so can you give us a little more color on your view on how this is going to evolve and to what extent this creates a larger growth opportunity for the company?
Mark Thompson: So, it’s just worth starting John by saying that we have a thesis at The New York Times about being a destination and wherever we can we want to draw readers into deeper engagement and into direct consumption of the New York Times on the mobile web or on apps. And because of that I think we, in a sense, when we think about major digital platforms, when we think about Facebook and Google, often we’re thinking about how we can get them a marketing advantage by our prominence in those platforms, how we can work with them to get Times journalism widely distributed but of course, also how that can ultimately lead to deeper consumption and to revenue both of an advertising kind -- advertising revenue and ultimately subscription revenue. I wouldn’t say that the overall context of pretty searching questions being asked in particular about Facebook. We think are broadly net positive for The New York Times. We, in recent conversation with Facebook, they made it clear that they want to somewhat reduce the total prominence of news on the Facebook platform, but within that to give a greater prominence to the most trusted news sources. They said to us quite explicitly that they believe in The New York Times from their own data is a good example of a trusted brand. So that shift we think will certainly harm us and could help us. And we’re deep in dialog with Google as well about ways of differentiating high quality news and are working effectively together to boost our particular pieces around engagement and subscription. And I’d say the events in recent months like the Google change on the circle first click free policy and the arrival of Subscribe with Google are both examples of Google listening quite carefully to our need. So, we’re less dependent on the major platforms than many other publishers directly for revenue. Generally, I would say our relationship with the big platforms is good and net-net, I think the development of recent months are to our benefit rather than this benefit.
John Janedis: Thanks Mark and maybe separately. I was hoping you can give us an update on your new news service, meaning, as you approach 2.5 million, do you see any reason to widen the net, are you still seeing good demand from corporate and education? And I guess to wrap it up 5 months in, what are you seeing from lowering the wall to 5 free articles a month from 10?
Mark Thompson: I hand over to Meredith to give you details on that. But just to say, I mean the one thing I didn’t mention, I would say we are very encouraged by is the extent to which the combination of the new cycle and new marketing tactics and indeed new journalism. In key markets like Canada, Australia and the U.K. are really helping with the story of striking acceleration in the numbers of new subscribers coming from outside the U.S. and I think our international story is a really encouraging one. But Meredith, why don’t you jump on to the other question?
Meredith Kopit Levien: Sure. That may not get us in perfect order John and I may miss one or two, because there were few questions in there, so stop me if I do. Broadly, I want to say, starts -- we had a very good quarter starts in the first quarter, I think are best one in three quarters and I think that bode well for the future. That is in part because of the change we made to major accounts. So I would say we did fair amount of testing as to what the results would be from taking the meter from 10 to 5 and our results are broadly in line with what we expected to see. So generally get more people to the gateway and you convert better. We’re doing quite a bit of work on mobile conversion specifically and I would say we are just beginning to get better at that and there is a lot of running room there, so you can see us continue to improve there. I think you asked about education and corporate, I will say in general, we are optimistic in both of those places and have an -- we have quite a bit more running room in both of them on the corporate side, I’ll say. We’ve made a very big investment in business coverage at The New York Times over the course of the last year and you can start see day by day, week over week more business stories on greater breadth, more reporters being hired, more hard hitting coverage. So as we do that, I think you’ll see us explore what that means in terms of more corporate subscriptions. I think that’s going to be good for direct to consumer subscriptions as well and then we have some focused efforts around edu, which you can expect to see us launch in the back half of the year. I can’t remember if you asked about international, but I’ll say this was also a very good quarter for international and we’ve gotten more sophisticated in our ability to play with price internationally and we do some positive experimentation in the U.K. and Europe in this quarter, which pair off nicely.
Operator: Our next question comes from Doug Arthur from Huber Research.
Doug Arthur: Three questions. Roland, when you talked about ARPU, I mean digital subs and digital subscription revenues were roughly up the same amount year-over-year in the quarter. So when you talk about improvement in ARPU, are you talking about increases or you just talking about stabilization, that’s question one?
Roland Caputo: Actually sequentially If we look at Q1 versus Q4 of ‘17, we’ve got an increase -- an absolute increase, albeit modest, but an absolute increase in ARPU.
Doug Arthur: So, on a sequential basis. And so as these promos roll off impact from a year ago, just it sounds like you think that’s going to continue to improve somewhat over the course of the year?
Roland Caputo: The biggest factor to look at is the percentage of folks that are on old price compared to the new ones coming in on promotion. So for a number of quarters, we’ve seen the gap, the year-over-year monthly gap in ARPU, we’ve seen that being closed. And now we see actual ARPU increasing. So if you think about a world again -- this isn’t guidance, but if you just like what your purpose is -- think about the world where we continue at the same level of acquisition that we’ve experienced recently. You will see ARPU increase and you’ll see the gap between last year’s month over month ARPU continue to close and eventually catch up and exceed.
Doug Arthur: Two other questions quickly. Given the print volume declines in circulation, is it crazy too crazy to think at some point you might consider a price decrease to print? I know that’s the Holy Grail, but I mean these are pretty thunderous declines in volume?
Mark Thompson: This is Mark. I do want to say that I think Q1 2017 was a rather unique point in time, because the immediate aftermath of 2016 election, it’s the rollout after the inauguration and it was a quite disproportion. You can see this in the digital page views for the Times in the same period and absolutely intense almost obsessive focus on the news. We’re still very strong today, but not as strong as it was its peak. And that had a one-off effect. It’s one of the best quarter for print in a decade, maybe. But -- and so I wouldn’t read too much into the point year-over-year comparison. So, I’ll hand it to Roland.
Roland Caputo: Now, I would make the same point, I would just go back and if you look at Sunday, specifically in Q1 of ‘17, it was flat year-over-year. So, we have not been up against comp like this in quite a long time.
Doug Arthur: And then finally on the rental income, is that going to go into other revenues and can you sort of update us on what you ballpark range think that could look like in a year or so?
Roland Caputo: Well, answer to the first part of question is, yes. That is going to roll into other revenues. We’ve got four of the seven additional floors signed to leases and we’re still working on the others and anybody who’s ever bought a house or rented an apartment knows these, these aren’t done for the done. So, I don’t want to make an assumption necessarily on what that rent would be, but ultimately we’ll have double the number of floors generating rental income than we have today.
Mark Thompson: Which could give you a broad guide. I mean, what I want to say is Doug is that we’re doing as well, maybe even slightly better than we thought we would in terms of the floors we went to check out. We’re very pleased with the results so far, confident about filling the rest of the space. So it’s very much going according to plan. A rough reckoner will be to look at the rental income we’ve already got.
Operator: And our next question comes from Craig Huber from Huber Research Partners.
Craig Huber: Yes. Hi. A few questions. I’ll start with a housekeeping one, if I could. What are you expecting for the tax rate for your company, just in for one-time items this year, please?
Roland Caputo: You can look at the base tax rate as being somewhat between 26% and 27%. Any individual quarter will have, vary from that, in terms of our effective rate could be up or down. But I think if you use 26% to 27%, that’s a good assumption.
Craig Huber: But for the full year or you are saying for the remaining three quarters? You are obviously well below that in the first quarter you said it?
Roland Caputo: Right. I don’t know which way adjustments will come in, in the next three quarters. So for the entire year, I’d say safe number is 26%, 27%, that’s our base rate.
Mark Thompson: Yes, so you are saying that’s like the benchmark as it was -- although there is often variation actually on a benchmark that we would think of for remodeling purposes.
Craig Huber: And then if you could switch over to your digital subs. Just can we say that -- the international piece that was roughly like 13%, 14%, 15% of the total?
Meredith Kopit Levien: Yes.
Mark Thompson: A little bit higher than that in this quarter, but we did better, but the average overall for the entire base is about 15%.
Craig Huber: Okay. And then the addressable market here, Mark as you kind of think out for the digital subs. Let’s just dream a little bit if you think out 5 years from now on your digital subs. What are you thinking just from a budget standpoint? Where do you think possibly this could get to? I guess I’m trying to also get to how many people on a global basis access NewYorkTimes.com and help on the paid site how large do you think [indiscernible] in terms of number of millions of people, thinking out for five years?
Mark Thompson: We know that depending on the month, 30 million, 35 million, 40 million people from outside the U.S. are coming to us. So that’s simple, straightforward kind of current international reach. And we know that, slowly, but surely the percentage of international subscribers is increasing, and I would say that there is some evidence in the incoming cohort of subscribers of an acceleration, relative to domestic subscribers. The domestic subscribers also continues to grow strongly. The overall addressable market, if we think of a group of people around the world with college degrees, let’s say, these are rough indicators of potential for The Times and with a good command of English, there are many hundreds of millions of people in that category, and you wouldn’t need to penetrate to that market very deeply where you had a much, much larger subscriber base. And I’ve talked publicly in the past about an aspiration of 10 million or more digital subscribers. I think you should think about that more in order of magnitude, rather than the kind of a precise target. But I believe that given the enormous scale of the addressable market, given the progress forward in making and now the successful steps we’re taking some international markets, both around how we apply, relatively modest investments in new journalism, often a small number of journalists and opinion writers, large events and other tactics to increase our profile, and the new tactics we got around pricing, and around how we market in these market, encourages to believe that we can continue to grow very substantially. And I want to say, I mean, I said that we’ve now got -- grossed up digital and print more than 3.7 million subscribers as of today. So when we think about 10 million, we’re talking about 3x increase, recognizing that over the time, I’ve been Chief Executive, we’ve already seeing more than 2x increase in subscription. So, for me, without being fanciful, I think there is potentially a great deal of scope for this model to grow and indeed to grow in a way, which will not see the direct costs growing at the same rate. So with real -- at a level of contribution margin, potential -- even when we think about the marketing costs associated with the growth, an attractive business profile for the growth as well.
Craig Huber: And also two more questions if I may. If you could just talk about the ARPU number of your digital subs in the first quarter. It looked like to us it was up roughly $0.30 versus the fourth quarter, if you adjust the fourth quarter, the extra week is that roughly how the math works for you guys?
Mark Thompson: Well Craig, I want to say, we don’t -- obviously not a number we disclose. We disclose numbers for the subscribers, disclose revenues. So, get out the calculated, I would say.
Craig Huber: Yes, just a confusion out there, people pat us, so I can hearing, not just that extra week, just want to hear your thoughts on that. And my last question...
Mark Thompson: Can we address the -- I’m looking at Roland, there is frowning must be there. Do you want to address the issue weeks?
Roland Caputo: Sounds like a no at this point.
Craig Huber: Are you talking to me, I am sorry, Mark.
Mark Thompson: Yes. I understand the point you -- the question you’re asking. I’m not sure we got an answer for you. I mean, what I want to say more broadly is what you heard earlier about the improvement in ARPU, and the fundamentals around that, which is a higher proportion of the file being on full price. And that being the reason because we had a very big coat of people in on offers that a very high proportion of those are successfully -- we are converting into full price. So we are naturally seeing an improvement in ARPU. That undoubtedly, what we see and when we look ahead to the rest of 2017, we think the story in ARPU is going to be a positive story. The only thing I would add to this is, although ARPU is clearly important when I think about this aspect of the business. I’m mostly interested in the extent to which we can continue to strongly grow the total digital revenue, and if as well, we are successful in accelerating our model, so we have more people coming on to the file again, paying in their first year, let’s say half price. So that has a downward pressure on ARPU, as long as the total amount of digital revenues continue to grow strongly. I’m very happy, where to point where we’re trying to grow the numbers of subscribers, and the business as a whole. We know from our print business that certainly on our print side, we have very strong pricing power. We believe in digital as well. We are -- and such testing as we’ve done encourages us to believe as and when we decide, we want to move ARPU by implementing price rises you will be able to do that without excessive churn. So, and I would say, just in terms of the overall managements of company, I feel very comfortable with the situation in ARPU.
Roland Caputo: Craig, just thinking about the question of 13 weeks and 14 weeks, if you imagine subscribers signing up cumulatively on kind of a smooth -- on a smooth plane and the basic offer being promotion for 52 weeks. I don’t really see how 13 versus 14 weeks really affect this. What we’re talking about is -- as I mentioned before, the real driver, the main driver being the percentage of folks paying full price relative to percentage of folks on promotion, which is mixing together get to our ARPU. Whether there were 13 weeks to 14 weeks in the fourth quarter of 2017, someone’s offer is still for 52 weeks. So, if you do kind of imagine the mouse going to the snake, that’s not going to change that. And as we continue to have more people on the full price, that ARPU trend is going to be trending upwards, as I mentioned before.
Craig Huber: Thank you for that. Let me just one more if I could please on the cost -- on your cost outlook for the second quarter, I guess, if you adjust the costs up mid single-digits. If we took a similar, look at chunk of that is because of the extra marketing cost. If you backed out marketing costs, is it cost more like flat year-over-year? What’s driving them? I mean guess, I am trying to get to?
Roland Caputo: Yes. It’s a couple of things. It’s not just the marketing costs. We also has been -- a decent portion of the cost growth is due to additional hires in a couple places in journalism and those were supporting our digital growth initiatives and for that -- and investing in new products. So, there’s a few things going on, it’s not just marketing, although marketing is an important part.
Operator: And our next question comes from Alexia Quadrani from JP Morgan.
Alexia Quadrani: Just stay on the same subject, but I’d like to sort of follow-up on some commentary on the sub growth guide going ahead for the full year. I know you don’t give a number anymore, but you sort of give us commentary and you gave a lot of helpful positive data points that are very encouraging, which I appreciate. Of anything that we might be missing either positive or negative, whether it’s marketing campaigns, patterns you saw in the quarter that just might give us a better sort of more data points to kind of make our own conclusion of what the sub numbers will look like -- digital sub numbers look like for the rest of the year? And -- go ahead. Yes, then I have one more after that.
Meredith Kopit Levien: Sure. I’ll take that, say few things. One, we are -- we think the midterm is going to present a vigorous new cycle and so we expect to see audience be very robust in the back part of the year and we think that will have an impact on digital subs as it did with the presidential election in 2016 and the immediate aftermath. So we are thinking hard about that. Alexia, I think we’re getting much more sophisticated about how we market, so the right sort of cocktail of brand versus middle funnel versus direct messaging and the right media mix that as we get better at that I think you’re going to see marketing play more meaningful role in our ability to drive subscriptions. And I think we’re also getting more effective ad driving what I would call virtuous behavior. So engagement in the form of people getting closer to the gateway where they have to subscribe, getting them to read one more story and also doing things that we know make them engage more deeply like signing up for newsletters or registering and logging in with Times. So you’re going to see us unleash more effort around all of that.
Alexia Quadrani: And then just on the digital advertising side, looks like it gets worse and a little bit worse in this current coming quarter before it sort of gets better in Q3 per your guide. I mean guess anything we should know a bit more on what’s causing both of those deltas particularly the one where it really takes a bit of the bad before it gets better?
Meredith Kopit Levien: Sure. I think Mark has said and I’ve said in previous calls that the business is getting more driven by large commercial partnership and I think partnership business is sort of inherently lumpier, because it takes more time to get partnerships into the market. We do have a fair amount of visibility into our pipeline and we are quite optimistic about that pipeline for the back half of the year, so that’s why the guide to a return to solid growth in the back half of the year. In the first half of the year, we’ve seen -- we saw it in the first quarter some depression on page views just comping against in Q1, the election. We’ve also seen and I think this explains the full sort of media story in the first half of the year. We’re continuing to see the audience pattern shift to mobile in mobile in direct full mobile or CPMs are generally I think higher than many others in the market. But lower than desktop and that shift continues. We feel pressure there and then I would say in the first half of the year, category shift from -- in different parts of the year and we play in virtually every category. There is a small number of categories that we have assumed would be and what we would call structural decline categories like classified and real estate. And I would say those declines, we have some exposure to that in the first half of the year and those declines are just happening faster than we expected. I will also say the comps get meaningfully easier in the back half of the year.
Mark Thompson: But I am going to say like that we remain very confident about - our thesis, about digital advertising and I call number of time, we had the conversations with as I was a Chief Marketing Officer of the world, so positive about us and the potential for really large-scale partnership. There is some of the partnerships we are signing up to individual campaigns of a many, many, many millions of dollars, so sort of area where a single campaign can be worth more than 10 million bucks to us. We are definitely there and we are seeing them.
Meredith Kopit Levien: That’s right. I would just to Mark’s point. Brand safety, deep engagement in a bigger more beautiful ad canvases and frankly fewer of them on pages or all things that marketers are seeking right now. And those are all things that The New York Times is selling. So, that’s why the optimism for the back half of the year and for the long haul. I’ll also say, we just introduced and I may have mentioned this on the last call, a couple of new and very promising data products that are grounded in our first-party data. So what we can know based on the context of what people engagement on The Times and where we get a formal introduction of those to the market and our new front at the beginning this week and we’re very optimistic about those having impact in our Media business specifically, we’re in the first half of the year, we feel the pressure because of the shift to mobile.
Operator: And our next question comes from Kannan Venkateshwar from Barclays Capital.
Kannan Venkateshwar: Just a couple. First on the trend lines during the quarter. Would it be fair to say that as you ramp up marketing for the later on in the year, the second derivative of growth that we have seen the 100,000 odd sub growth for the last three quarters that should accelerate and then from a pricing perspective, I think Meredith, you mentioned a couple of campaigns internationally and a bigger focus on the educational segment. Does that means the sequential improvement in ARPUs that we’ve seen that trend line could temporarily reverse as you push deeper into some of these initiatives? And I have a follow-up.
Meredith Kopit Levien: Let me take pricing first, and I said this in prior calls. I think we have opportunity at both ends of the demand curve on price. And we are seeing real success with cookie and crossword getting higher uptake on our more expense of bundles. And I think you are going to see us continue that. We are just beginning to market those products particularly cookie more aggressively, and I think cookie is a seasonal product. You’ll see more of that in back half of the year, we’ve also revved up the engine on the third product that we announced an exploration on parenting and we’re not going to stop there. So I think because of that and because of the trends that role into stride before, you can imagine continued improvement in ARPU. On the other side, as international becomes more and more important and we are getting better at price experimentation there, particularly in what we call rest-of-the-world markets, so beyond Canada, U.K., Australia where we’ve been incredibly focused for the last few years. You would see pricing on the other side, so you see us lower prices. So, I think the statement you just made is broadly correct that as Roland described, the base gets larger and the number of people on -- price gets larger year-over-year, and we have also had a very good trend of getting people to step up twofold price as we get more experimental in edu and international, you see pressure on the other side.
Roland Caputo: It’s probably worth noting that at times of heightened demand when you get an influx of new orders, right? So, we get that a bit dilution on ARPU. The amount of revenue you are getting from having that many subs and dwarfs [ph] whatever the dilutive effects of the aggregation of ARPU is.
Mark Thompson: And if I comment on most basic of them all, which is that we think this is still a relatively immature and we want to grow 3 times, 4 times, 5 times. And we are trying to drive the scale of the base. We certainly keep a close eye on total revenue at the model and its growth path. But we’re not managing -- we’re not of yet, I mean when the thing is more mature and we’re closer to what we think a saturation, we will focus much more on at the moment. Our key goal here is to grow the size of this business and the numbers of subscribers we got, and in some ways that we can get an acceleration of net starts and we’re not going to give you guidance on that, but we certainly, we are very focused on whether we can accelerate where we are. If the prices of that in the short run was a reduction of ARPU, I think we take down in the interest of long-term growth.
Kannan Venkateshwar: Secondly on the television side, Mark, you mentioned a few initiatives there, would be great if you could expand on that and give us some sense of the scale of the opportunity there, as well as what kind of cost impact we might see?
Mark Thompson: I’ll talk brief and I am going to handover to Meredith. We want to be very circumspect. We’re very excited about the possibilities for The New York Times in television but I distinguish between digital video, which is an important thing for us to do. We have a lot of video. We are beginning to win awards for our and rightly said I think the quality of the video is very good and it is becoming an integral part of our news report in the way that still photography had been for many decades. But we do have ambitions, we think that we’ve demonstrated with the daily podcast. Our ability to translate quality, the authority and the humanity of Times journalism into audio, we think we can do the same for television, but television, we may be talking about television, which is delivered via traditional television, for example cable TV or through streaming services. But what I mean by this is an extended viewing experience, so not a fragmentary experience, but extended so TV shows and TV programs. And we think this could be a way both of directly generating revenue but also again of getting Times journalism in front of new audiences and further building the reputation and the influence of The New York Times. But Meredith, you have to say anymore.
Meredith Kopit Levien: I think you said most of it. I had a couple things. So Mark mentioned in his opening remarks that we’ve entered into an arrangement with anonymous content with whom we’re working to essentially get more upstream on television and film projects that come out of Times IP. So in the past, that’s been sort of narrow discrete relatively low revenue business for us and we see an opportunity for the Times to play a bigger role in that, and you will hear us talk about that quarter-over-quarter as projects begin to unfold. But there’s a fair amount of activity there including the project Mark mentioned at softcall about the Weinstein story. As to The New York Times, actually creating programming for television around which people would form habits. Mark mentioned, we’re also aggressively pursuing what we might do there with more news to come. But I would say in both cases, I think there are 3 ways that the Times will benefit. One is a general raising of the public consciousness for the power and importance of quality original independent journalism. We and a number of us around the table had the pleasure of seeing the premier of a ShowTime documentary that I think Mark also mentioned called the first episode of the Fourth Estate over the weekend, which just exposes people to the work of independent journalism. And I think that will just make more people spend more time with an on journalism, which is good for us. Secondly, we have had the very positive experience with the daily where it formed a new audience. It is a new revenue stream daily happens to make its money largely through advertising, but it also makes more people spend more time on the destination of The New York Times, because of interest than in more than just the story they heard. And I think in this case, our pursuit in television will have that effect and then we think it’s a revenue opportunity in and out itself.
Mark Thompson: Thanks, Meredith, which you just emphasized the ShowTime documentaries is an entirely editorially independent. The Showtime came to us. It’s their show and [indiscernible] want to know. I think it’s possible by the way, you may finally get the particular pleasure of seeing an earnings call actually happen, you can see how carefully we dress for the occasion [indiscernible], so some of you look forward to, I think that’s primarily in May, so mostly.
Operator: And ladies and gentlemen, at this time we reached the end of today’s question-and-answer session. I’d like to turn the conference call back over to Harlan Toplitzky for any closing remarks.
Harlan Toplitzky: Thank you for joining us this morning. We look forward to talking to you again next quarter.
Operator: Ladies and gentlemen, that does conclude today’s conference call. We do thank you for attending today’s presentation. You may now disconnect your lines.